Operator: Good morning, ladies and gentlemen. Welcome to the Trican Well Service Second Quarter 2022 Earnings Results Conference Call and Webcast. As a reminder, this conference call is being recorded. I would now like to turn the meeting over to Mr. Brad Fedora, President Chief Executive Officer of Trican Well Service Limited. Please go ahead, Mr. Fedora.
Brad Fedora: Thank you. Good morning, everyone. I thank you for attending the Trican Well Service conference call. I'll just give you a brief outline of how we intend to conduct the call. First, Scott Matson, our CFO, will give an overview of the quarterly results, I'll then provide some comments with respect to the quarter, the current operating conditions and the outlook for the future, as we see it. We've generally shortened our commentary in an effort or to leave more time for questions at the end. Several members of our management team who are in the room here today and are available to answer any questions. In the room with me is Chika Onwuekwe, our VP, Legal and General Counsel; Todd Thue, our COO; and Daniel Lopushinsky, our VP Planning and Analysis. I'll now turn the call over to Scott.
Scott Matson: Thanks, Brad. So just before we begin, I'd like to remind everyone that this conference call may contain forward-looking statements and other information based on current expectations or results for the company. Certain material factors or assumptions that were applied in drawing conclusions or making projections are reflected in the forward-looking information section of our second quarter 2022 MD&A. A number of business risks and uncertainties could cause actual results to differ materially from these forward-looking statements and our financial outlook, please refer to our 2021 Annual Information Form and the Business Risks section of our Q2 2022 MD&A and our MD&A for the year ended December 31, 2021, for a more complete description of the business risks and uncertainty facing Trican. These documents are available on our website and on SEDAR. During this call, we will refer to several common industry terms and use certain non-GAAP measures, which are more fully described in our 2021 annual MD&A and in our second quarter 2022 MD&A. Our quarterly results were released after the close of market last night and are available both on SEDAR and on our website. So with that, let's move on to our results for the quarter. Most of my comments will draw comparisons to the second quarter of last year. I'll also provide a few comments with respect to our results comparing ourselves to Q1 of 2022. Revenue for the quarter, $153 million was an increase of about 63% compared to the same quarter of last year. Activity levels during the quarter were generally higher than last year's period with many of our customers not quite able to complete their Q1 '22 programs with cold weather delayed operations at the beginning of the year. So a portion of that work that was expected to be performed in Q1 of 2022 carried forward and that completed in early Q2. Commodity prices remained strong through the quarter, and we had relatively favorable weather conditions throughout which allows our customers to work effectively through their programs, resulting in a somewhat more muted spring break up than many prior years. We realized some price improvements across our service lines during the quarter, a contrast to typical Q2s where pricing often declines, but it didn't really translate into significantly higher margin, as better pricing only served to offset continued inflationary pressures based in our major cost categories. From an activity perspective, our overall job count year-over-year was relatively flat but total profit comp a good measure of well intensity and activity was up about 7% year-over-year with average tonnage pumped per job increasing reflecting the company's strong position in the deep and technically challenging work found in the Montney and Deep Basin areas. Adjusted EBITDA for the quarter came in at $19.2 million, a significant improvement over the $14.2 million we generated in Q2 of 2021, especially considering that last year's results included about $6.1 million of contribution from the Canadian emergency wage and rent subsidy programs that did not occur this year. I would also note that our adjusted EBITDA figure includes expenditures related to fluid and replacement, which totaled $1 million in the quarter, $1 million in the quarter and that we expensed [ph] during the period. Adjusted EBITDA for the quarter came in at $23.6 million, a significant improvement compared to the $16.2 million we printed last year, again, with last year's results, including the contributions from the wage and subsidy programs I noted earlier. To arrive at EBITDAS, we effectively add the effects of cash settled stock-based compensation back to more clearly show the results of our actual operations without some of the financial noise related to these amounts. We continue to make progress in monetizing some of our stranded assets, including excess real estate, with a number of transactions closing in the quarter, bringing in about $15.1 million in cash proceeds and generating $2.3 million in net gains on disposal. On a consolidated basis, we generated positive earnings of $1.5 million in the quarter or about $0.01 per share. And I would note that achieving positive earnings in the second quarter is no small feat and something that we're very pleased with. We generated free cash flow of about $14.6 million during the quarter, as compared to $9.6 million during Q2 of last year. And our definition of free cash flow is essentially EBITDAS, less any non-discretionary cash expenditures, which includes interest, cash taxes, cash settled, stock based compensation and maintenance capital expenditures. CapEx for the quarter totaled about $24.7 million, split between maintenance capital of - of about $4.0 million and our gross or upgrade capital of $20.7 million dedicated mainly to our ongoing capital refurbishment program. And through that ongoing program, we're upgrading a portion of our conventionally powered diesel pumper fleet with low emissions natural gas burning Tier 4 DGN engines. The balance sheet remains in excellent shape. We exited the quarter with positive working capital of approximately $115 million, including net cash of $28 million and no long-term bank dent. And finally, with respect to ongoing NCIB program. We remained quite active during the quarter and repurchased approximately 2.6 million shares, bringing our total shares repurchased to June 30th to 5.4 million shares at an average price of about 363 per share. We continue to view share repurchases as a solid investment opportunity and a portion of our capital continue going there in the context of returning capital to shareholders. So with that, I'll turn things back over to Brad for comments on our operating conditions and our outlook going forward.
Brad Fedora: Thanks, Scott. Overall, Q2 was better than prior years, where we still experience seasonality in Canada due to the spring falling conditions and that does restrict access to the well site. So Q2 has no matter how you - regardless of the weather or for people's intentions, you're always going to have a reduced program in Q2. But fortunately, it appears that the trend now is for easier break-ups than historically we've experienced. And I think it's just a combination of better planning and logistics with respect to multi-well pads, which allows more work to continue on through the quarter and I think a lot of our customers are bonding roads, et cetera. So the Q2 the quarter overall was very good. We did have some relatively significant project delays though, heavy rains in June. We pushed a fair bit of our work out of June and into Q3. We continue to see cost escalations in Q2, primarily driven by increased diesel costs. And as everybody knows, diesel prices affects almost everything in all aspects of our business, including products, third-party trucking, just day-to-day life requires a lot of hydrocarbons to make it go around. We continue to see fuel service charges on rails, which are significant, and this obviously impacts our costs on sand and chemicals. We held firm on pricing and flow through, looking [ph] most of the inflation to our customers. We didn't discount any of our prices like historically you have seen, and I think that will be the trend of the future. But inflation significant and it takes a lot of effort to keep up with it and make sure that we not only keep up, but get ahead of it. And I think we have done that now. When we look at Q3 and Q4, we expect the second half of the year quite busy, as the commodity prices remain high. Our third quarter is fully booked and Q4 is quickly booking up. And typically, at this time of the year, we have a fairly good visibility leading out to Christmas. And from everything that's on the board today in the second half of this year it should be really busy and you know, which should be a great year. We did - we're very happy with our start to the quarter. We're very busy. You know, July should be a great month. We've got really good activity in the field. The weather has cleared up and I think we're up and running quite efficiently. So far this month we've been setting new records in daily sand volumes pumped. We've got all of our people and equipment in the field and operating very efficiently. From a frac and cement crews perspective, we think the basin will very soon be approaching capacity and it should stay at capacity for the remainder of the year. In the coil market, I think we're already there. In fact, I think we're – we’ve been under slight in coil now for the past few months. And if we could, we would probably double our coil division. It's very active and the margins are quite attractive. We're operating 7 frac crews and 7 coil crews. Out of the 7 frac crews, 2 of the fleets are the new Tier 4 DGB equipment, which runs on natural gas instead of diesel. And we're operating at about 60% of our capacity in the frac division. So we're running sort of 7 out of 12 frac crews. On the cementing side, we're running about 17 crews. That provides us with an overall market share of sort of 35%. But in the Deep Basin in the Montney, our market share would be quite higher than that. We expect our cementing business to be very busy throughout Q3 and Q4 and as rigs get out to the field, obviously, we are hoping to add more cement crews to try to keep up. Today's rig counts in the low 200s, which is 50 more rigs than we had at this time last year. So again, it's more evident that the second half of 2022 should be very busy. Our customers remained very disciplined with respect to their capital budgets. They're focused on returning capital to their shareholders, paying down debt. And I think just taking a very financial approach to their projects. It's important to note, LNG activity has started in the field from a drilling perspective. I think we're all expecting the LNG facility in Kitimat to be onstream, I think, in 2025 and the drilling activity now has sort of officially started. And from what we understand LNG Canada is behind on their gas production. And so we expect that as the months go by, the LNG-related drilling activity will do nothing but increase. We are gaining traction net pricing. We - it's been difficult keeping up inflation today. But I think we finally have - we finally sort of beat it with respect to the rate of change and these improved pricing and higher activity levels that will require additional crews in the field will ultimately contribute better margins and an increase in free cash flow for the second half of this year. We are having margin expansion both in Q3 and Q4 compared to Q1. People are going to be the bottleneck, I think for the next few years. Any crew additions required a long lead time to try to find people. We are actively recruiting throughout Canada. We have had some successes lately. We take great pride in our staff and the work they do. We are very fortunate that everybody at Trican is very committed, and we have an excellent safety record, without their dedication, we wouldn't be able to operate as efficiently as we have, especially through COVID in the last few years. Retention remains one of our top priorities, as we are attracting new people to the industry that are working in the oil and gas industry for the first time. And we're still seeing that there's more attractive lifestyles they may want to leave for. Fortunately, these are really high-paying jobs, and we're focused on making this as a good place to work for our people. We're starting to see some of the cost inflation stabilize. The rate change since basically Q4 of last year was extremely steep. And I think that has sort of leveled out a little bit here. And even though the inflation is, I think the rate of change of inflation is slowing, we're still - r supply chain is still stressed, particularly in sand. We think in the sand mines and the rail is operating basically at capacity. And we do expect some temporary sand shortages just to occur in the second half of 2022. We have great logistics and planning department. And so we look at this one of the services that we're able for our customers is just reliable services. And we are well ahead of what we think will be sand and chemical shortages. And we've made plans to make sure that we manage through that as efficiently as possible. Third party - third-party trucking is also one of the bottlenecks in the industry and just logistics in general is moving this much sand around. It takes a lot of effort, a lot of planning, and we expect this to be extremely tight for the remainder of 2022. There's less trucks in the basin today. So it takes just that much more planning ahead of time to make sure that we're operating as efficiently in the field and minimizing any delays for our customers. You know, its important to note just on how operations in the field are working today. Like as an industry, in the last 4 years, we've become extremely efficient with our operations. We've gone from pumping sort of 14 to 16 hours a day to over 22 hours a day now. And up until now, the customers benefited from all that efficiency, as all that - all those cost savings were passed on. And we're starting to get some of that, as you think, what we'll see as margins expand, we'll be able to bring more equipment into the field. We made great strides with respect to technology and innovation. We're very focused on running the latest state-of-the-art equipment, providing chemical solutions that reduce fresh water consumption and more environmentally friendly products that – you know, whether it's isolating the water zones with cement, you know, using produced water at a fresh water, reducing emissions in the field. We've taken great strides to invest in our technology to make sure that we're providing the best services possible. Our guiding principle is clean air, clean water. And so when we think about the services that we want to offer, we want to make sure that they're sustainable throughout the next decades and not just through the rest of the year. On the Tier 4 side, we rolled out our first Tier 4 frac spread in early - very early Q1. We're very happy with the results. We have over 2,400 pumping hours on that crew to date. Our second Tier 4 spread is now in the field. Its not yet an incremental fleet. It has displaced older conventional diesel equipment. And until we can get the staff trained and operating efficiently, we won't have an incremental crew in the field. We expect that incremental crew to come late this quarter. So that will be our eight frac spread. We are adding an additional third Tier 4 spread, and then that will be field ready the fall, I would say sometime in the fall in Q4. We do have customers lined up for this equipment, and we're very fortunate that we've had numerous customers’ testament [ph] Tier 4 technology. They've all been very happy with it and they are basically asking for more Tier 4 equipment then we can provide. We're very impressed with the Tier 4 equipment and its performance to date. Its lower emissions, lower operating costs, high-performance pumps that are more reliable and have less people on – require less people on location. And of course, all of this results in higher profitability compared to our conventional equipment. We are able to charge a premium for this equipment and the customer is saving on diesel costs. And we do expect this technology to be the standard in Canada in the next few years. Unfortunately, for us, we made this call about 1.5 years ago, and so now we got more than a year head start on our competition with respect to getting this equipment into the field. On the return side, I want to make a comment that Trican is very focused on free cash flow and return on invested capital. These are without a doubt the most important metrics when you're analyzing pressure pumping company. And there is always a tendency to want to talk about EBITDA, but just based on the age of the fleet in Canada, the difference in accounting policies, we urge you to focus on free cash flow and returns on invested capital. We invest based on long term predicted returns, not operating margin or market share. We continue to sell older, more obsolete equipment, just try to re-circulate that capital into new technologies. And you know, fortunately, for us, if you are looking at EBITDA, a vast majority of our EBITDA converts into free cash flow. And I'll just wrap up with some comments on our NCIB program. As Scott said, we continue to view the NCIB as a very attractive investment. Year-to-date, we've repurchased just over 8.5 million shares or 3.5% of our outstanding shares. We intend to increase our participation in the NCIB in the second half, and we remain committed to this as an investment, and we have both your consistent monthly budget and an allocation of funds for one-off purchases if the market disconnects from how we view the future of our basin. So we continue to be active in that. And we look forward to reducing our share count. I think I'll stop there and I'll hand over the call to the operator.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] First question is from Keith MacKey with RBC. Please go ahead.
Keith MacKey: Hi, good morning.
Brad Fedora: Hey, Keith.
Keith MacKey: Just to start out on the eight fleet, I think Brad said it's going to be incremental and in the field by later this quarter. Can you just give us a little more context around the staffing of that fleet? Is it fully staffed and now a matter of training? How many of the personnel for that fleet have been recruited from outside of the province. Just a little more color on that. And I guess, you know, it will also affects what happens with the ninth fleet when you get your third Tier 4 DGB later this year. So maybe just a little commentary on staffing these eight to ninth fleets. And will there be you know, incremental or will we see some replacement of existing diesel fleets for – as the new equipment comes in?
Brad Fedora: Yeah. Just from a recruitment perspective, we're actively recruiting throughout Canada. I mean, it's not relevant as to where people are coming from with respect to what equipment they work on. But it does take time, a lot longer now than it used to, you know, used to be the recruiting cycle could be three months long, you could wait for the last minute basically to try to recruit incremental equipment that's going in to accrue incremental equipment that would be going into the field. Now the lead time on people I would say is six months and maybe more, and we're drawing from a pool of people that have more so now. We're drawing from people that haven't worked in the oil patch. And so there's more training that may be required on whether it's just getting familiar with the equipment or driving, you know, getting a Class 1 license, et cetera. So the recruiting and retention of people into our industry is more important now than it has ever been. They're very great paying jobs. We think it will be a stable career for the next few years, at least. So we're trying to sell those attributes of our industry. But as we all know, like unemployment is low throughout Canada and COVID has restricted travel from the east – from Eastern Canada into the oil patch. Of course, people are not interested in coming to work here unless they know they can go home for their days off. And as the restrictions are lifting, we're getting more interest. So when you think about adding incremental fleets into the field, it takes a long time. And typically, what's going to happen with fleet eight and nine as the equipment is going to come into the field, it's going to displace either diesel equipment or dual fuel equipment. Our new Tier 4 equipment is much more efficient, much more desirable by the customers, provides lower emissions, a higher more reliable pumps. So there's definitely - that's our first - that's our customers' first choice of equipment if they have the option. So we'll bring the equipment into the field. We'll displace older gear [ph] And then as we get – as we're happy with our crews, it will become incremental spread. But the exact timing we just - we can't make that prediction.
Keith MacKey: Got it. That's helpful. And you mentioned some LNG drilling has started up. Just curious if you've started to see some of the RFPs on the frac side for that drilling. And if you can just talk a little bit more about what you've seen there, if anything and when you expect to see more RFPs to follow up some of this drilling that's occurring?
Brad Fedora: Yeah. We have seen RFPs on the completion side for one of the participants of LNG Canada, when we're going to see more? I don't know. But from what we understand, just from the information that's publicly available, LNG Canada is 0.7 at bcf a day, short on their commitments. And, of course, they can always buy the gas from other companies operating in the basin. So be careful not to imply too much from that information. But generally, what that tells you is there's going to activity in the basin that's LNG-based. LNG, obviously, is a very, very long-term projects. And so there's just a layer of consistent Montney [ph] drilling that is going to get - its going to be in place that we never had before. So we're not only excited for Canada to participate in the global LNG market. And as we all know, the world needs more Canadian oil and gas. But it's very - it's just nice to have some reliable consistent projects that are occurring.
Operator: The next question is from Aaron MacNell with TD Securities. Please go ahead.
Aaron MacNell: Hey, morning, all. A couple of questions on the DGB engines. Now that you've got more data, can you give us a sense of what the actual fuel savings are and percentage terms you know, on a metric ton basis whatever you think really I guess it doesn't really matter, just whatever you know, done, as you compare to the fuel cost of Tier-2 engine or biofuel engine?
Brad Fedora: I mean, there's so many - I mean, I understand what you're asking and why you're asking it. Unfortunately, there is just so many operating conditions that greatly influence the fuel consumption. So it's hard to say. But it's not unusual for there to be $70,000 day savings on a large frac spread on fuel or on a per well basis, sorry. So it's significant. The price of natural gas even at these prices is a lot less than $2 a liter for diesel
Aaron MacNell: Understood. And then as a follow-up, I assume that those savings are somewhat shared between you and the customer, higher pricing, offset by lower costs. But I guess the question is, are you delivering a lower all-in completions cost to your customer, even though you might be charging more for the fleet?
Brad Fedora: Yes, generally, yes. Because there's so much that goes into completions costs like time - just things like time on location, like this equipment. This equipment is so efficient that we're just – we're getting wells done quicker than ever when you compare it to our other equipment.
Aaron MacNell: Okay. Thanks. I'll leave it there.
Operator: [Operator Instructions] The next question is from Waqar Syed with ATB Capital Markets. Please go ahead.
Waqar Syed: Brad, what's the cost of a Tier 4 upgrade these days?
Brad Fedora: Well, I hate to say this, but it depends. I'd be part of - because as you know, we're retrofitting equipment. And so it really depends on the state of the equipment that you're retrofitting, whether it needs a rebuild pump or brand new pump. It is very fair to say that our costs, as we continue to go into our part fleet of equipment, the costs are climbing. And I’ve made this comment before, I mean, Trican like every other competitor in the basin has equipment part and the age of your typical frac fleet in Canada is not young. It can easily be 10 years old, 10 years plus years old. So if you're going into an old 2,500 horsepower pump that was built in 2011, that pump may need to be replaced by now, may not be worth upgrading. And so I mean, when we started down this road, we were about C$20 million [ph] in retrofit costs that has climbed to 30. And it's a combination of both inflation from cash on the price of these engines and just the requirements for new pumps and transmissions versus rebuild of pumps and transmissions.
Waqar Syed: And if you were to do it like a completely new fleet, what would the cost be there?
Brad Fedora: Like a brand-new frac fleet with Tier-4 pumps would be $50 million-ish.
Waqar Syed: And that will be like a 30,000 horsepower or 35,000?
Brad Fedora: No. That would be 20,000…
Scott Matson: 40,000-ish.
Waqar Syed: Okay.
Brad Fedora: More 14 times 3 – 14 times 3,000, like 14 pumps to 3,000…
Waqar Syed: Okay. Makes sense. Now in terms of - as you talk to your customers, what are you hearing from them about the typical seasonality that you see in Q4, what's your early thoughts, how the [indiscernible]?
Brad Fedora: I don't think anything is changed. I mean in the past, I would say there's more sort of focus on budget exhaustion versus seasonality. I mean, there's always weather interruptions. It doesn't matter what quarter of the year. In Canada, we’ve worked in the north, its remote. We have four seasons. And every time you have a change of seasons, there's issues, right? So there's always weather delays in Q4 and then of course, we have the Christmas slowdown in Canada. Christmas is a much bigger event than Thanksgiving. But obviously, based on its adjacency to New Year's, the Christmas slowdown can be a couple of weeks. So there's always those issues. I don't think budget exhaustion is going to be as big an issue this year as it has in prior years.
Waqar Syed: All right. And then you know, so far in first half, the EBITDA margins have kind of lagged last year's first half. Do you see substantial pickup in second half versus second half of last year?
Brad Fedora: Yes. Sorry, you're asking the second half of this year versus second half of last year?
Waqar Syed: Yes, that's correct, yeah.
Brad Fedora: Yes, we expect the margins to be higher.
Scott Matson: Yeah, just the other point I'd add Waqar is remember to normalize last year's operating results and margins for the amount of wage subsidy program that came in there, right, so.
Waqar Syed: Fair enough, fair enough. And Brad, in terms of - you mentioned about sand shortages and chemical shortages and certainly, those are issues. But could you maybe talk to the magnitude of that, do you think that industry activity is going to get disrupted, we're not being able to get things done overall in the industry? Or is it more kind of a nuisance that's going to be handled and there's going to be some price inflation, and that's about it?
Brad Fedora: Yeah, I think, I do actually expect they'll be short-term shortages. And by short term, I mean sort of a day or two. So it is going to be - I would say it's going to be though a more consistent nuisance. Will we get it done? Yes. But when we look long term, we're always looking a few years down the road. And so are we thinking about sort of sand supply and chemical supply in the volumes because the volumes have grown on a per well basis and as the well count grows, you can have some fairly steep increases in the total tons of sand being pumped. So yeah, we are thinking about - we are working with our suppliers on making sure that their operations are matching with what we're seeing.
Waqar Syed: Yeah. And just one final question. Any early reads on CapEx for next year?
Brad Fedora: No. We're very happy with the Tier 4 performance. And so I think it's a fair assumption that we are going to continue to retrofit our equipment with what we view as to be the best technology at the time. And right now, that's the Tier 4 DGB engines is something that comes along. We're completely agnostic to technology. And so we'll put the best technology into the field.
Waqar Syed: So would it be fair to say that at minimum CapEx could be relatively flat, at least flat 2023 versus 2022?
Brad Fedora: Yeah, I think that's reasonable.
Waqar Syed: Okay. And just one last, sorry, get one more in, maintenance CapEx per fleet, where is that running?
Brad Fedora: I don’t think in fleet terms, 3-ish.
Waqar Syed: 3 million, okay. Sounds good. Thank you very much…
Brad Fedora: Waqar, maintenance capital, you can roughly predict it around 4% of revenue.
Waqar Syed: Okay. Thanks.
Operator: [Operator Instructions] The next question is from John Gibson with BMO Capital Markets. Please go ahead.
John Gibson: Morning, guys. I just had one quick one. You spoke about some net pricing increase in your fleet, just wondering if you could give a sense of what proportion should benefited from higher net pricing starting in July? And then how will that sort of change as the back half of the year progresses?
Brad Fedora: I'm not following you John, what proportion?
John Gibson: I'm just wondering what percentage of your fleet will actually benefit from higher net pricing, increase as the year goes on?
Brad Fedora: Generally all of it.
John Gibson: Okay, great. Thanks.
Brad Fedora: Thanks.
Operator: Next question is from Cole Pereira with Stifel. Please go ahead.
Cole Pereira: Hi. Morning, everyone. Just wanted to quickly build on John's question. I mean maybe it's a bit tough to answer because it's going vary between customers. But I mean you're willing to sort of add any details on what that net pricing increase might be, say, on average compared to Q1?
Brad Fedora: No. I haven't made public comments before that we were targeting a net price increases of 10%. We've been very open with our customers that, you know, it's frustrating for them because we've just had - we've had very significant price increases that you know, they've obviously taken on, and its frustrating for us because almost none of those price increases went into our pockets. And so we're fortunate our customers understand we need to make money. And so we've been more vocal about the need for Trican to gain from these price increases and generally is gone pretty smoothly. And it's not - we're not talking big numbers just where we're targeting what I've already mentioned, of which…
Cole Pereira: Okay. Got it. That's helpful. Thanks. And coming back to the incremental Tier 4s, I mean, as kind of mentioned earlier, you think the frac market is sort of that capacity and you're adding a fleet here in Q3 and another in Q4. I mean, is it a function of just your current program? You have line of sight that, that shouldn't oversupply the market? Or is it more a function of pricing as it getting high enough to justify the activation. And I mean with the fleet coming in Q4, do you think Q4 is actually going to be stronger than Q3? Or how should we think about that?
Brad Fedora: Yeah, I'll just maybe address it. I don't think - I think very rarely Q4 will ever be stronger than Q3 just due to the onset of winter and the Christmas break. It's very hard for Q4 to be in excess of Q3. And just with respect to the equipment additions, you have to remember, this isn't just a generic equipment that's going into the field, right. So it's very targeted conditions with respect to customer demand for our Tier-4 technology. And we don't - this is priced at a premium, and we're prepared to park [ph] if we don't get the right price for.
Cole Pereira: Okay. Got it. And some commentary in the industry just about bottlenecks in cement that you touched on. Can you just comment on how pricing specifically for that service line should be in the second half and as well maybe on the cost inflation front?
Brad Fedora: Yeah. Cement has probably experienced some of the most significant cost inflation starting back in Q4 of 2021. And so we really had to be on our toes to keep up with price - with price to inflation or our cost inflation. So in general, we're fairly consistent across our service lines with respect to price increases.
Cole Pereira: Okay. Got it. And you mentioned you plan to increase your share buybacks. Can you just give us somewhat of a quantum of that whether in percentage or dollar terms?
Scott Matson: Yeah, I'd say we've been buying back roughly $3 million of shares each month over the last six months. So I would expect that will be our baseline, we'll probably take that up a little bit and then as Brad mentioned, we've got some opportunistic funds set aside as well. So you could expect that, that regular cadence that we saw in the first six months will be a bit higher in the back half, plus we'll be able to take advantage of some of the price disconnect that we're seeing.
Brad Fedora: Yeah, just for modeling purposes, I use $4 million a month. But there is depending on where the share prices go, that can influence that. But at these level, you know, I would say $4 million a month, it should be pretty close. $4 million worth per month.
Cole Pereira: Okay. Perfect. That's all from me. Thanks. I'll turn it back
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Brad Fedora for any closing remarks.
Brad Fedora: Okay. Thank you, everyone. We appreciate your interest in our company. And Scott and I and the rest of the management team will be available for any follow-up questions that anyone may have throughout the day. So please call us directly if there is any more questions. Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.